Silvia Ruiz: Good afternoon, everybody. This is Silvia Ruiz speaking, and I would like to welcome you to Ferrovial's conference call to discuss the financial results for the full year of 2025. I'm joined here today by our Chairman, Rafael del Pino; our CEO, Ignacio Madridejos; and our CFO, Ernesto Lopez Mozo. Just as a reminder, both the results report and the presentation are available on our website since yesterday evening after the U.S. market was closed. At the end of the presentation, there will be a Q&A session run by our CEO and our CFO. [Operator Instructions] Before starting, please take a moment to look at the safe harbor statement included in the presentation. And please bear in mind that the presentation contains forward-looking statements and expectations that are subject to certain risks and uncertainties, so actual figures may differ. Other than as required by law, the company assumes no obligation to update forward-looking statements. During this call, we will discuss non-IFRS financial measures, which are defined and reconciled to the most comparable IFRS measures in our results report. With all this, I will hand over to Rafael. Rafael, the floor is yours.
Rafael del Pino y Calvo-Sotelo: Thank you, Silvia, and good afternoon, everyone. Ferrovial delivered a robust performance across all business divisions in 2025. In Highways, our North American assets continue to deliver outstanding revenue and EBITDA growth. In Airports, we continue to make progress at New Terminal One at New York's JFK Airport, where our focus is now on operational readiness. And in Construction, all lines of business achieved an outstanding performance. On the financial side, we closed the year with a solid cash position with negative net debt, excluding infra projects of $1.3 billion. This was supported by record dividends received from our infra assets that reached EUR 968 million. In addition, we collected proceeds of EUR 533 million from the sale of AGS and EUR 539 million from the divestment of a 5% stake in Heathrow Airport. These cash flows were combined with investments for growth that included the acquisition of an additional 5% stake in 407 ETR for EUR 1.3 billion as well as EUR 236 million of equity injections in NTO. At the same time, we returned to shareholders EUR 156 million in cash and repurchased shares totaling EUR 501 million. We also achieved significant milestones in 2025. We were shortlisted for the bidding of the I-285 East Express Lanes in Georgia and the I-24 Southeast Choice Lanes in Tennessee, both of which are expected to be awarded this year. And in February 2026, Ferrovial Consortium was shortlisted for the I-77 South Express Lanes Project. Following our U.S. listing in 2024, Ferrovial joined the NASDAQ-100 Index in December, a key milestone that reflects our growing presence in the North American market and the confidence investors place in our long-term strategy. In the following slide, we review some of the key figures for the year. Revenue reached EUR 9.6 billion, up 8.6% year-over-year on a like-for-like basis, driven mainly by higher revenues in highways and construction. Adjusted EBITDA stood at EUR 1.5 billion, representing a 12.2% year-over-year increase on a like-for-like basis, supported by the growing contribution from our portfolio of Managed Lanes in the U.S. and a very solid year in our construction business. The construction order book reached a new all-time high of EUR 17.4 billion with almost 50% coming from North America. Dividends from projects reached a record EUR 968 million, showing a 2.2% increase year-over-year, led by contributions from Managed Lanes and 407 ETR. As mentioned before, a solid cash position with negative net debt ex infra projects reached $1.3 billion. And finally, total shareholder return in 2025 reached an outstanding 38.6%. I will now hand it over to Ignacio, who will review Ferrovial's performance in 2025 by business division. Ignacio, the floor is yours.
Ignacio Madridejos Fernández: Thank you, Rafael, and hello, everyone. Let me begin with an update on our strategy. Our key North American infrastructure assets, the 407 ETR and the U.S. Managed Lanes continue to perform strongly. The 407 ETR delivered double-digit EBITDA growth, while the Managed Lanes reported revenue growth significantly above inflation. In NTO, we advanced in the construction of the New Terminal One at JFK and invested EUR 236 million in equity over the year. In terms of growth opportunities in North American highway assets, we increased our stake in 407 ETR to 48.29% showing our confidence in the long-term prospects of the Greater Toronto area and the long-term value creation of the asset. During 2025, we also made significant progress in our U.S. pipeline. We were shortlisted for I-285 East in Georgia and I-24 in Tennessee, both of which are expected to be awarded this year. Additionally, in February 2026, Ferrovial's Consortium was shortlisted for the I-77 South Express Lanes project in North Carolina with award estimated for 2027. All 3 are managed lanes projects in fast-growing metro regions. We are facing a record pipeline of infrastructure projects in the U.S., larger than anything we have seen before. As cities continue to expand and congestion intensifies, managed express lanes and toll-based systems have proven to be reliable and highly efficient solutions. Beyond highways, we continue to monitor opportunities across other infrastructure segments, including airports like NTO with capacity expansion needs, greenfield data centers and energy infrastructure projects. Recent examples include the development of solar photovoltaic projects in Texas and the acquisition of land plots for data center development in Spain and Poland. We remain selective when pursuing only those opportunities where our capabilities provide a clear competitive advantage and the risk return profile aligns with our strategic priorities. Our capital allocation strategy, focused on mature assets, continues to provide flexibility to reinvest in the most attractive opportunities. Our divestments in Hydro and AGS in 2025 are good examples of this. This growth strategy will be funded by solid cash flow expected from our current portfolio in the following years, while we continue to maintain our financial discipline with a focus on delivering value creation for our shareholders. Turning to Highways. 2025 was another outstanding year for the business division, especially in North America. Highways revenue grew 13.7% like-for-like in the year, while adjusted EBITDA was up 12.2%, driven by a strong double-digit growth from our U.S. assets. In the fourth quarter, the adjusted EBITDA declined by 2.9% compared to previous year, impacted by foreign exchange and higher bidding costs. U.S. Highways revenue grew 14.2% in like-for-like terms in 2025 compared to previous year and adjusted EBITDA increased by 12.4% versus 2024. Dividends from our North American Highways totaled EUR 855 million in 2025, reflecting the strong growth and cash generation of these concessions. The figure is slightly below the EUR 860 million in 2024, but remember that 2024 includes the first dividend from I-77 after 5 years of operation, which was an extraordinary amount of EUR 205 million. Turning to the 407 ETR. The asset delivered an outstanding performance in 2025. Traffic increased by 6.1% in 2025. This growth reflects the success of targeted rush hour driving offers as well as the increase in mobility from Return To Office mandates, partially offset by unfavorable winter weather in 2025. Revenue grew 17.8% year-over-year, with toll revenue increasing 17.6%, primarily due to the higher toll rates that came into effect on January 1, 2025. Looking at fourth quarter figures, revenue per trip grew by 7.1% compared to 11.7% for the full year. This last quarter's performance was mainly due to seasonality and a softer contribution from heavy vehicles, which pay higher toll rates. In terms of EBITDA, it grew 14.2%, impacted by the Schedule 22 expense provision that was CAD 40.9 million in 2025, along with an extraordinary higher provision for lifetime expected credit losses. Looking at promotions, they work very well in incentivizing more efficient use of the road throughout 2025. These targeted offers continue to provide us valuable insights into customer behavior. We expect our focus on demand segmentation to continue enhancing value for users and maximizing EBITDA growth. Regarding dividends in 2025, the 407 ETR distributed a total of CAD 1.5 billion. Lastly, on January 1 of this year, the new toll rate and fee scheme was implemented. Moving now to our Dallas-Fort Worth Managed Lanes. In terms of traffic, the corridor remains strong, while traffic in our Managed Lanes was impacted by construction works. In terms of operating results, the 3 projects posted solid growth versus last year, both in terms of revenue and EBITDA despite the increase in revenue share. Remember that revenue sharing is a consequence of the overperformance of the assets. At NTE, traffic declined 4.7% compared to 2024 due to the ongoing impact from capacity improvement construction works. These works are expected to be completed by year-end except for 2 additional ramps that began construction last year. Despite lower traffic, revenue increased by 8.1% in 2025 and adjusted EBITDA grew by 5.5% year-over-year, including $8.1 million of revenue share in 2025. At LBJ, traffic was flat in 2025 despite the impact of construction works affecting nearby connecting highways. In the fourth quarter, traffic performance was affected by changes in the staging of adjacent projects. Revenue grew 8.6% in the year, while adjusted EBITDA grew 9.2% versus 2024. At NTE 35 West, traffic increased by 2.9% in 2025, reflecting solid demand across the corridor. When looking into the fourth quarter performance, the traffic was down by 0.4%, impacted by bottlenecks at managed lane access exit points and the finalization of capacity restriction linked to construction works on competing nearby road 121. We are working to identify solutions that relieve congestion and address these bottlenecks that I mentioned, also any implementation could take a few years. On the financial side, revenue grew a robust 14.7% year-on-year and adjusted EBITDA rose 10.6% for the year and included $26.4 million of revenue share. In all our Dallas-Fort Worth Managed Lanes, revenue per transaction increased well above the soft cap and inflation, supported by a favorable traffic mix. NTE and 35 West also benefited from a higher number of mandatory mode events. This soft cap was updated for 2026, increasing by 2.7%. Revenue per transaction grew year-on-year by 13.4% in NTE, 8.7% in LBJ and 11.6% in 35 West. Following this robust operating performance, all 3 Dallas-Fort Worth Managed Lanes delivered higher year-on-year dividend distributions. NTE reached $216 million, LBJ $123 million and NTE 35 West $215 million. Moving now to I-66. Traffic increased by 7.4% in the year, supported by a strong corridor growth that benefited from greater enforcement of Return To The Office policies despite worse weather conditions and the federal government shutdown in the last months of the year. Revenue per transaction grew by a healthy 13.3% in 2025. Looking at last quarter's performance, let me highlight that the 1.3% increase in revenue per transaction reflects a singular quarter performance, influenced by an unusual traffic mix and lower peak hour volumes, mainly due to adverse weather conditions and the temporary shutdown. We remain confident on the asset and expect future toll rates to grow above inflation based on the value for users linked to how congestion evolves in the area. Adjusted EBITDA rose an exceptional growth of 25.7% in 2025, driven by traffic growth and higher toll rates. In 2025, I-66 distributed $165 million in dividends at the 100% level compared to $172 million in 2024 when the asset paid its first dividend distribution after 2 years of operation. Turning to the I-77 or Managed Lanes in North Carolina. Traffic declined in both fourth quarter and full year as the fourth quarter of 2024 traffic benefited from an exceptional uplift caused by hurricane-related alternative lane closures, together with adverse weather conditions throughout 2025. I-77 delivered a very strong revenue per transaction growth, up 24.7% year-on-year. The adjusted EBITDA grew by 16.5% in 2025, including $21 million of revenue share in 2025. I-77 distributed $52 million in dividends at the 100% level compared to $307 million in 2024, which was the first dividend distribution of the asset after 5 years of operation. Our North American toll road assets are located in some of the top performing regions in North America, consistently growing above the national average. Starting with Toronto, short-term economic growth may be modest given the geopolitical environment. but the long-term prospects remain solid. The Greater Toronto area population is expected to expand 22% by 2051, and Toronto is forecast to deliver higher 5-year GDP growth than both Ontario and Canada. Moving now to Dallas-Fort Worth. The region continues to show very strong economic and demographic momentum. By 2050, Dallas-Fort Worth is projected to surpass Chicago and become the third largest metropolitan area in the U.S. with more than 12 million of population. The region benefits from a very diversified economy, and it remains one of the most attractive destinations for both corporate and families relocating within the U.S. Over the next 5 years, its GDP growth is projected to exceed the U.S. average. In Northern Virginia, the area stands out for having high household incomes. The Washington Metro area has a higher proportion of households earnings above $100,000 than the U.S. average. Over the next 5 years, the median household income is forecast to rise by 3.2% in Washington Metro area. Lastly, Charlotte remains one of the fastest-growing metro areas in the Southeastern United States. In 2025, we recorded the highest growth rate among the top 50 metros at 2.3% versus a national average of 0.9%. Looking ahead, the region's population is projected to increase by more than 50% by 2050, led by Mecklenburg County, where the I-77 corridor is located. Turning to our business in India. In 2025, IRB reported decrease in revenues, showing lower construction activity following the completion of several projects as well as the one-off positive impact from a claim recorded in 2024. IRB Private InvIT continued to deliver solid performance with a year-on-year growth in revenues and EBITDA. At the same time, their Private InvIT advanced in its capital recycling strategy through the sale of 3 assets to the Public InvIT, enhancing portfolio optimization. During the year, IRB Private InvIT was awarded 2 new TOT concessions, reinforcing the company's leadership in India's toll road monetization program. Looking ahead, India remains an attractive market, supported by a strong GDP and a significant funding gap in transport infrastructure. In 2025, India's GDP grew by 7.7% year-on-year despite ongoing macroeconomic headwinds. Moving on to Airports and New Terminal One project at JFK Airport, we continue making steady progress towards operational readiness. The project keeps progressing, facing a crucial year. In terms of the schedule, the contractor has communicated an updated target completion date for the first phase of construction of fall 2026. The project reached 82% construction progress as of the end of the year. We have secured commitments from 25 airlines, including 16 executed agreements and 9 letters of intent. As a reminder from previous quarters, we achieved an important milestone in July, completing the refinancing of Phase A through the issuance of a $1.4 billion long-term bond. Turning to our airport in Turkey, Dalaman delivered a steady performance despite macroeconomic headwinds and geopolitical challenges that significantly affected international traffic. In 2025, passenger numbers declined by 1.1%, yet revenue grew 3.6%, driven by better non-aerial performance. Adjusted EBITDA increased 2.5%, supported by a strong commercial performance. Ferrovial received EUR 7 million in dividends from Dalaman in 2025. Let's now turn to Construction. The division posted an outstanding year, delivering a strong growth and solid profitability across all business units. Revenue reached EUR 7.7 billion, up 7.5% in like-for-like terms compared to 2024. Adjusted EBITDA was EUR 511 million, up 19.9% and adjusted EBIT totaled EUR 352 million, increasing by 24.2% like-for-like. The division delivered a 4.6% adjusted EBIT margin in 2025, above our long-term strategic target. The business performed well across all divisions. Budimex delivered a standard 9.2% adjusted EBIT margin with improvements across all segments and benefiting in fourth quarter from one-off change orders and higher contribution from late-stage contracts with risk already fully mitigated. Webber reached a 3.2% adjusted EBIT margin. Ferrovial Construction improved to 2.4%, supported by risk reduction on later-stage projects and improved execution. Also profitability in 2025 continued to be impacted by significant design activity in bidding for projects and costs related to digitalization and IT systems. We finished 2025 with a record high order book of EUR 17.4 billion, up 10.1% like-for-like from December 2024. The composition of the order book remains very healthy. It does not reflect roughly EUR 2.5 billion in contracts that are pre-awards or pending financial close. Almost half of our order book is in our core U.S. and Canada market, which we expect will continue to support future growth. Our operating cash flow reached EUR 597 million in 2025, compared to EUR 291 million in the previous year, driven by fourth quarter working capital seasonality in Poland and Spain, together with prepayments and compensation received in the U.S. and Canada. Lastly, in terms of outlook for the division, we maintain our average long-term target of 3.5% adjusted EBIT margin. Now Ernesto will continue with main financial information.
Ernesto Lopez Mozo: Thanks, Ignacio. I'll cover now the main lines of the P&L statement. As you have seen in the previous slides, adjusted EBITDA has grown on the back of U.S. highways and construction operational performance. The EBITDA figure also includes other businesses like waste treatment in the U.K. In the fourth quarter, an agreement was reached to exit the Isle of Wight waste treatment contract by the end of March 2026. This agreement had no additional impact on the P&L from what had already been recognized in the first 9 months. As we have mentioned in past calls, we aim to fully exit the business in due course. Depreciation has increased on the back of higher traffic than expected on I-66 and replacement CapEx being brought forward in the Dallas-Fort Worth Express Lanes. The disposals and impairments in 2025 relate mainly to the sale of AGS. During 2024, we had the impact of the sale of 19.75% of Heathrow. Financial results Infra projects, a slight increase of expense versus previous year due to increased debt in highways along 2024 and lower cash remunerations on lower average cash balances, partially mitigated by U.S. dollar depreciation. Financial results ex infra projects, the income is driven by net cash balance, the Heathrow Airports Holding 5.25% stake ticking fee and employee share plan hedges. Last year, we had the fair value positive impact of the 5.25% stake in Heathrow Airport Holding that was sold this year in 2025. Equity accounted affiliates profit growth on the back of the Frozen ETR outstanding performance. Income tax has a positive impact due to recognition of tax credits in the U.S. and Spain mainly. Results from discontinued operations reflect earnouts from divested services business. Turning to the net cash -- net debt position, the ex infrastructure net debt. We see that dividends from projects amounted to EUR 968 million. On top of the Highways dividends already discussed, Energy distributed EUR 54 million corresponding to the return of capital invested in a photovoltaic plant in Texas and the Airports divisions distributed EUR 30 million, of which Heathrow represented 50%. Construction operating cash flow tax payments ex dividend reached EUR 596 million, driven by the fourth quarter working capital in Poland and Spain and further enhanced by prepayments and compensations received in the U.S. and Canada, as Ignacio just discussed. Tax payments reached EUR 100 million, including EUR 47 million of corporate income tax in Budimex. Investments totaled EUR 1,970 million, mainly due to the additional 5.06% stake acquired in the 407 ETR for a price of roughly EUR 1.3 billion. And also the EUR 236 million of equity invested in NTO. Interest received and other investing activities cash flow amounted to EUR 130 million, mainly related to cash remuneration. Divestments reached EUR 1,158 million, largely driven by the divestment of Heathrow, EUR 539 million, and the divestment of AGS, EUR 533 million. Cash dividend and treasury share buybacks purchases at EUR 657 million in 2025 includes EUR 156 million from cash dividends and EUR 501 million of share buybacks. Other cash flows from financing activities used in finance activities, you have EUR 437 million, including the repayment of the revolving credit facility that was EUR 250 million, also the reduction of the euro commercial paper, EUR 200 million and financial leases reduction of EUR 121 million. Also we include here the dividend to minorities that is EUR 77 million and interest payment, EUR 64 million. All this is partially offset by the issuance of nondilutive convertible bond that is registered here at EUR 350 million. We also have the effect of the exchange rates on cash and cash equivalents, a reduction of EUR 91 million, mainly from the U.S. dollar depreciation. But we don't include here in this net cash position, the mark-to-market of FX hedges. As of December 2025, we had notional foreign exchange hedges of $2.847 billion, in U.S. dollars, and CAD 538 million. The corresponding mark-to-market of these hedges was EUR 147 million, as I mentioned, not included in the net cash position. Moving to the slide of dividend proposal. This year, we shall propose EUR 1 billion in dividends. We can consider this is a EUR 400 million top-up of what would be a comparable dividend to past years of EUR 600 million. With this, the aggregate dividends for the period 2024 through 2026 would total EUR 2.2 billion following market standards where dividends are based on the share price at the time of delivery to shareholders. As obviously, we're looking to break it down probably into dividends along the year. And now let me hand it over to Ignacio for the closing remarks.
Ignacio Madridejos Fernández: To conclude, our North American portfolio continues to deliver solid revenue and profitability growth, driven by enhanced customer segmentation and underlying growth in the locations where our assets operate. Looking ahead, we are well positioned for continued growth, supported by a record pipeline of U.S. infrastructure projects and rising interest in P3 opportunities across the country. Finally, our construction order book remains healthy with anticipated limited exposure to inflation.
Silvia Ruiz: Thank you very much, all of you. And let's start with the Q&A session. So operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from Cristian Nedelcu from UBS.
Cristian Nedelcu: The first one on the ETR. The Q4 revenue per transaction up 6% you mentioned due to some weakness in heavy vehicles. Can you elaborate on this? And is this spilling over into 2026, this headwind? The second one, you had the new pricing in place for the ETR 407 from January. Could you talk a bit about what you're seeing, the feedback from customers? Are you seeing demand erosion as a consequence of that? Or are you expecting other negative mix impacts here? I'm trying to understand if this 21% growth in prices at peak times is representative for the revenue per trip growth in 2026? And the last one, if I may, N35 West, you -- during your remarks, you mentioned about the volume weakness in Q4 also due to some bottlenecks. And it sounded that you expect this to spill over into 2026. Could you elaborate a bit if my understanding is right? And if you can give more details there?
Ignacio Madridejos Fernández: Thank you for the questions. I will start with the , 407 ETR, the revenue per transaction in the fourth quarter of the year that was lower than the previous quarter. You have to consider that it's something that happens usually the fourth quarter compared to the third, there is some seasonality. And in this case, probably more even because of the weather that affected. And usually, what happens is that during the summer, you will have longer trips in the corridor and also more type of users that have transponders and they have a charge because in the reviews, it's not that we have. So it has been repeated this quarter, as commented because of weather probably more. Well, some effect that not relevant about the heavies, but it's too early to say if it's something that will continue. Of course, always is very related to the economic activity of the country and especially about the region of Canada and is continue expected to grow in this year according to third parties, but we have to see how it is evolving. And also what we need to consider always in these things is the effect of promotions. And as you know, we are very positive about the promotions that we did last year. And I think that is helping with users, with the value that we give to the users, but also is helping to maximize EBITDA. And this is the main KPI that we are following, promotions are increasing traffic, but are also reducing revenue per transaction, but it helps us to maximize EBITDA. And this is something that we have to follow this number. For this year 2026, we don't give any guidance. But as commented previously, we'll continue with promotions as we did in 2025. And we expect also that is going to contribute to maximize EBITDA also in this year 2026. Regarding the 35 West, the volumes in the last quarter, yes, I commented about some bottlenecks that we have that is affecting the whole corridor. The whole corridor is growing and what we are seeing is more congestion. And this is something that will continue happening. As you know, more congestions will mean that some traffic is moving out of the corridor, but it also will mean that probably we have more mandatory modes in the way that we have had until now. Of course, as I commented, we are looking for solutions. But I think we have some designs and changes that could improve the situation, but we need several approvals, and it will take time. But as commented in the short term, we may see softer traffic compared to the whole traffic growth in the region, but probably because of more -- of congestion, more mandatory modes.
Operator: Our next question comes from Luis Prieto from Kepler Cheuvreux.
Luis Prieto: I have 3 questions, if I may. The first one is, could you please shed a bit of light on the reasons behind the provision for lifetime expected credit loss on the 407 ETR? Should we expect this to happen again? The second one is that, although you have reiterated your long-term EBIT margin outlook in construction in one of your slides, wouldn't Q4 margins suggest that there is upside risk to this figure over -- at least over the coming year? And the third question is if you could provide us, please, some anecdotal evidence on customer segmentation measures in the U.S. Managed Lanes, not the 407, which I think is widely understood, but what are you doing specifically in the U.S. Managed Lanes?
Ignacio Madridejos Fernández: Thank you, Luis. About this provision for credit loss. Some years ago, we had a change in the processes that we have. And because of that, we have some old accounts that we thought that it was healthy to provision at the end of last quarter. And the new collections after this change of process that we are seeing right now are back to what they were before this change of process. So it's back to normal to what it was before. In terms of EBIT, the only guidance that we give is that long-term average EBIT is 3.5% for construction. So sometimes we'll be above, other times we will be below. As you know, this is a cyclical business. And this is the only guidance that we are giving. So we mentioned several times that we have a healthy backlog today. But the only guidance that we are giving is about this 3.5% EBIT margin in the long term. And also regarding the fourth quarter, there were some one-offs that were exceptional and related to some change orders that we have in certain countries. And the last one about the customer segmentation in the U.S., yes, of course, something that we are looking at and we are analyzing. However, it's too early and more difficult than in the 407. And it is because we are not doing the collections in the case of the U.S. Managed Lanes and it's more difficult to reach customers. But of course, it's something that we are analyzing and seeing if we can create value also maximizing EBITDA with promotions in the future, but it will take longer.
Operator: Our next question comes from Graham Hunt from Jefferies.
Graham Hunt: I'll ask 2, if that's okay. Firstly, we read a lot at the moment about the impacts of AI and both in terms of pressure on white collar industries, but also technologies, which I think are relevant to your portfolio, like increased presence of autonomous vehicles. So just wanted your thoughts on how you're thinking about these potential threats or developments with respect to Ferrovial's discretionary lane assets? And is it coming into your thinking as you prepare for bids on the upcoming projects, which you highlight here in the pipeline? And the second question, just on dividends, upstream dividends. Just where do we stand or where is your thinking in terms of assets and whether you can increase that to increase upstream dividends across the U.S. and Canada.
Ignacio Madridejos Fernández: Thank you, Graham. I will take the first one and Ernesto, the second. Also I mean, we could not hear you very well the second question, but we will try to answer. Regarding AI and autonomous vehicles, we have followed some research done by third parties about what could be the implications of especially autonomous vehicles because AI is a little bit more difficult and probably new. But in the case of autonomous vehicles, main conclusion is that at least in the short term, what we see is more traffic. So it will be probably autonomous cars moving more than the cars today, and so will be more traffic and congestion. And especially that will create more congestion when they are running at the same time with cars driving by human beings. So I think that short term, we see that as a positive thing. The implication of AI is a little bit more difficult. And I think there are different versions if they will maintain employment by the people doing different things or there will be a reduction of, in general, white collars. Of course, some cities will be stronger depending on the type of workers that they have and the type of industries and the type of things that they do. And as long as we can have some information about this and we can incorporate the models we'll do. But so far, there are more questions about autonomous vehicle and less about artificial intelligence. But as long as we get more information, of course, we'll incorporate in our models and of course, in the bidding process.
Ernesto Lopez Mozo: Thanks, Graham. If I listened well, the question was regarding the possibility of helping uplift dividends from our projects like the 407 and Managed Lanes with some additional leverage. Yes, this is a question we get recurrently asked. I mean, clearly, the 407 is very -- with very comfortable ratios. So we could be seeing some uplift there. Don't expect like a big bank, but yes, I mean, there could be an improvement in dividends just because there's ample capacity there. Regarding the Managed Lanes, you know that always the optimal in terms of delevering is comparing with the business plan that was submitted. So we could have not in the near term, but not too far away, some additional leverage on the I-66. Those are the main ones, 407 and I-66. We could have some angle in others, but we will update in due course the market. So yes, the summary is that, yes, we have some headroom there.
Operator: Our next question comes from Ruairi Cullinane from RBC Capital Markets.
Ruairi Cullinane: Please, could you provide some commentary on pricing on the I-66 and I-77 at the start of the year? Would it be reasonable to assume another year of double-digit pricing increases in terms of revenue per transaction growth on these assets? And secondly, you had a strong Q4 across all construction businesses. I was wondering what drove the more than doubling of EBITDA in Ferrovial Construction. And then finally, on the Schedule 22 provision, it seems like there are a few sort of moving parts that could drive that this year, on the one hand, higher tolls, but also perhaps more rush hour traffic and further targeted promotions, would you say overall, we could expect a decrease in Schedule 22 payments?
Ignacio Madridejos Fernández: Thank you for the questions. As you know, we are not giving any guidance about this year 2026 in terms of pricing. The only comment that I made during the presentation is that in the I-66, we expect that toll rates will increase above inflation. And the only thing or the only comment is that, as you know, this is -- toll rates are increasing based on the value to users. And it is very related to congestion and increase of population and economic activity. And as long that is happening and there is value for users, we'll try to capture and especially I-66 and I-77 that we have freedom to set toll rates. But as commented, we are not giving any guidance. In the case of the Construction business, the margin for the year was 4.6% EBIT margin and I commented that especially in the fourth quarter, we have some positive developments in some markets with change orders, also some projects at the later stages that the risks are eliminated. So there were some February positive things that happened at the end of the fourth quarter. But we are not giving any guidance of following years or what is going to happen next. And in terms of Schedule 22, again, as commented previously, what we are trying to do with the promotions is to maximize EBITDA and part of the equation, of course, is the traffic, is the revenue per transaction, but also the Schedule 22. And we consider the 3 things whenever we define what is the toll rate increase for the next year and the promotions that we are launching during the year. And as you know, we have different sectors and in some sectors, it makes sense to increase promotions, in other less. And depending on that, we can pay Schedule 22 depending on the traffic or not. So the objective is not that to be a number that is 0, but to maximize EBITDA. And we consider all things together to take the best decisions in order to maximize EBITDA. That is the main KPI that we need to follow in the 407 ETR.
Operator: Our next question comes from Elodie Rall from JPMorgan.
Elodie Rall: Just to come back to the 407. I was wondering if there has been any pushback politically or in the press to the tariff increase that you have announced for '26? And also, I know we've talked a bit on that. But in terms of promotions for '26, should we expect a similar impact to '25? Or will you increase the intensity there? And then with regard to the NTO, so you said the opening now is pushed to the fall. Realistically, when should we start to expect any impact to numbers? And when will we get a bit more visibility on the financials there? And when would you communicate? And lastly, maybe it would be an opportunity to meet at this stage, but your '24, '26 period on your last guidance or strategic update is ending, obviously, this year. So are you planning anything to update the market on strategy, shareholder returns, maybe the opening of the NTO?
Ignacio Madridejos Fernández: Thank you, Elodie. About the 407 and about the new toll rate announcement, I think that we have to see this about the toll rates in combination with the promotions because I think that many users in the Toronto area are benefiting from some of the promotions that we are doing, and we have to see all in combination. And I'm not aware about any -- I mean, relevant pushback to the toll rate increase and to the promotions that we are doing. What we are doing or plan to do during this year 2026, the focus will continue to be similar to previous year on peak hour as it was the case last year. But also we'll try to segment more and more, looking for better understanding of the customer behavior and how we can contribute to value to them and also to us to maximize. But about that, we need to learn. So it will be step by step, and we'll try to do some promotions and some activity to learn, but most of it, the bulk will be similar to previous year regarding peak hour. But as commented, we'll do other things to see how we can increase value to users and maximize EBITDA. NTO, as commented, yes, it was -- is now -- the contractor told us that they expect a date in the fall 2026. And yes, we have reviewed the schedule with the different milestones. And we have to wait until a specific date to opening. We are not going to give any financial information at least for the time being until they start opening and with the first numbers of NTO. And at that time, I mean, we'll start to communicate some number, not for the time being only communicate the opening date and the number of airlines that have signed user agreement or a letter of intent, not anything else for the time being. And yes, we are ending the Horizon 26 plan that this is the last year, but it's an important year. It's a '24, '26 plan. Many things that we need to deliver during this year, and that's the focus that we have today. Of course, after that, we'll, I mean, think or prepare a new plan that will work during this year and once it is prepared, we'll think about how we are going to communicate one thing so the plan will be communicated externally. But so far, I mean, we have not finalized the plan and not taking any decision about the communication.
Operator: Our following question comes from Dario Maglione from BNP Paribas.
Dario Maglione: Congratulations for an amazing 2025. I have 3 questions on the U.S. Managed Lanes performance. So on the I-66, Q4 was quite weak compared to Q3, it was the government shutdown. What kind of, let's say, revenue or traffic did you see in December after the government shutdown has ended? Do you see like a normalization of the trends or some weakness remained? Then on the LBJ, I was a bit surprised by the slowdown there, and you mentioned construction works. Do you expect this construction works on, I guess, feeding traffic roads to continue in 2026? And last question on the I-77 is that surprised me on the positive side against tough comps. Here, the revenue per transactions was very high, similar to Q3 despite much lower traffic volumes. Can you tell us more about why that is the case and whether this dynamic is sustainable in 2026?
Ignacio Madridejos Fernández: Thank you, Dario. Regarding the I-66, yes, the fourth quarter was affected by the shutdown, 43 days, and also by winter weather that was worse than previous quarters. It affected mainly that mixed traffic and especially commuters at the peak time. So that was the main effect was related to that, that we have less commuter at peak that usually have higher toll rates than in other times of the day. Also, you have to take into consideration that the comparison of the fourth quarter is also we have a relevant increase in the fourth quarter last year with the dynamic prices that was communicated before by Ernesto in the quarter's calls. And so it was a tougher comparison also to consider. Again, as I commented before, we expect to grow the toll rates in the I-66 about inflation because of the value to users and the activity that we see in the corridor. LBJ, the problem is that we have construction that are around the LBJ in different projects that is not under our control. So in some cases, you see more impact depending where they are working and how they are affecting the number of lanes and the rest of the traffic. So it's very difficult to anticipate if one quarter is improving and other is probably a little bit deteriorating versus the previous one. What we see is that we expect because it's not our construction work, that it will be finalized by the end of this year. We don't know exactly when, it will happen in phases or it may happen that suddenly one quarter is better and then the next, we see some negative effect in our traffic because they are doing something specific. So it's very difficult to anticipate. Also by the end of the year, we expect that it will be back to normal. And it may happen that some quarters are better because the way they are doing the work is helping with the traffic. Anyhow, the whole, I mean, traffic back to the corridor will happen once the full construction is finished. And in the case of the I-77, remember also with the traffic, we have this comparison with last year, you remember, we have the closure of lanes because of the hurricane and that increased the traffic in the last quarter of the year. And even we have some effect at the beginning of 2025 that we'll see as a comparison. But in terms of toll rates, revenue per transaction, well, we'll continue understanding of seeing the value to users and try to get that value to us. And I think that has been good in some peak hours in the traffic. And because of that, we have been able to increase the revenue per transaction and at the end, maximizing EBITDA. As I commented, Charlotte is a region that is growing and especially in terms of new jobs in the U.S., and it looks that it has a good perspective in the following years.
Operator: Our next question comes from Marcin Wojtal from Bank of America.
Marcin Wojtal: I have a couple of questions. Firstly, just a follow-up on the NTO project, which is delayed to fall 2026. Is there any increase in the cost of the project for you? Is there any extra equity that you need to contribute? And is there any impact on your equity IRR due to the delay of that project? Question number two, if we could just perhaps go back to the 407 ETR dividend increase, which was very significant, 36%, I believe, in 2025. Could you just remind us how do you think about the dividend policy of that asset? And do you still consider the 407 ETR to be underlevered as it is today? And maybe if I can squeeze in one more regarding your U.S. listing, I mean, that is a recurrent question, but are you considering any further steps on the journey to become more of a U.S. company, perhaps a switch to U.S. GAAP accounting or any other steps that you are considering?
Ignacio Madridejos Fernández: Thank you, Marcin. I will take the first one, and Ernesto will take the last 2 questions that you are asking. Regarding the cost, the project is substantially close to the budget numbers at this point in time. Our expectation is the deviation will not be material and it will depend on how successful are certain claims presented by the contractor. And as of today, we don't expect any additional equity funding for Phase A. The delay that we are seeing today is minor. It's a very -- it's a few months. So it's not affecting us the IRR. It's a minimum thing that it will not have any effect of the total project. But the negative effect that we have in this period of time is related to the revenues that we are not collecting, but no more than that, but the impact is minimal.
Ernesto Lopez Mozo: Okay. Well, regarding the capital structure of the 407, I mean, really, the leverage should reflect the solid financial performance, right? And with the performance it has, it keeps getting headroom and headroom in ratings. And I mean, it doesn't make sense, right? The capital structure should be adequate to the current ratings, right, not get, let's say, an upgrade, right? So yes, that would follow that opportunity, as I mentioned in another question that was regarding the dividends for the 407. Regarding the U.S. listing, if we are looking to do U.S. GAAP or not, the market is not asking for that. Now of course, we've analyzed that. It could make sense going forward, and we have done our analysis to try and get ready. But I mean there's no current demand for that at the moment. So not in the short term, we won't be doing U.S. GAAP.
Operator: Our following question comes from Jose Manuel Arroyas from Santander.
José Arroyas: I have just one question, it's about the revenue sharing payments in the Q4, particularly at NTE and I-77. I found them a little bit above average, and I think they ended above the annual budget for both highways. Was there anything different in the Q4? Or was it just a recalculation for some particular reason of the annual provision? And then looking at 2026, I noticed that for I-77, you are budgeting about 50% increase in the revenue sharing provision for I-77. Why would that be? Or is it just a conservative assessment?
Ernesto Lopez Mozo: Just -- I mean, as you mentioned, it was in line with the budget, the revenue share. But the fact was that the budget was being outperformed, right? And there was a catch-up in the accrual at the end. Going forward, it makes sense to do that more along the year, right, rather than reflecting the budget. So we should expect more correlation with the performance along the year as we do with the Schedule 22. But it just reflected that. Regarding the I-77 revenue share budget for next year, yes, the budget considers that there is a, let's say, a move into another bracket of revenue sharing. When that happens, there's an effect that it looks like a lot that then is not as that going forward, right? But when you get into a different bracket of sharing, you kind of get this effect because it looks into the accumulated stuff, right? So you can check that with the excels we provide that effect. But as I said, the year -- the following year won't be that substantial. It's just an effect of changing into a different bracket.
Operator: And the last question comes from Cristian Nedelcu from UBS.
Cristian Nedelcu: Could I please check the 407 loyalty plan that you talk about? Could you give us a bit more details? Does it mean more -- is the purpose to get more traffic, but you could give more discounts? Or how do you think about it? And can I also ask on the NTE that you mentioned the construction works will end at the end of '26. How should we think once that happens, how should we think a traffic accelerating versus less mandatory modes? So net-net, do you expect revenue still grow once construction ends? And the last one, there's a bunch of tenders for Express Lanes in the U.S. You made the proposal for the Washington Airport. There's a lot of CapEx there on the midterm and long term. And even if you take a 35%, 40% equity of that CapEx, you're talking about very large amount. So conceptually, can you tell us a bit how do you think about firepower? There are all these projects, but I guess there is a limit at some point, you cannot do all of them. Could you elaborate a little bit how you think about this?
Ignacio Madridejos Fernández: Thank you, Cristian. About this loyalty plan, as commented, we'll continue with promotions in 2026. It was very positive from our perspective in 2025, helping us to maximize EBITDA. and we'll continue to do that this year. Again, the bulk of most of the promotions will be at peak hours, similar to what we did in 2025, of course, with the learnings that we had last year, we continue improving and trying to get more value to user, but also maximizing EBITDA to us. One of the things that we'll try is a loyalty program, but it's something that we'll see how it works. And similar, what we'll try to do is try to get some additional segmentation and learning and seeing how the users see the value. And based on that, we can do more segmented type of offers in the future. But again, bulk will be -- of promotions will be very similar to what we did last year, but with the learnings that we have because this is just the second year, we are continue learning. And of course, this is alone, I mean, during many years, I mean, we'll see more and more segmentation, more value to users and maximizing EBITDA for us. In the terms of NTE, yes, the construction will end by the end of this year. And what we'll see at that point of time is our expectation is directionally is that more traffic will come back to the corridor. As you know, what happens when you have construction and they see some congestion, then some of the traffic takes a different route that probably for them is shorter and some of the trips that we used to have, well, they disappear. Once the situation is back to normal, then we'll start to see more traffic. It will take some time. It will ramp up. They learn that probably they have savings taking this corridor versus the alternative that they are taking today. So we'll see more traffic. But also at the same time, with this more traffic at the end of the construction, we'll see less congestion because at the end, we are adding new managed lanes in one sector and one additional general purpose lanes in other sector. So there is more capacity in the corridor. It will bring more traffic, less congestion and probably less mandatory modes. We are not giving any guidelines about what effect that will have in revenues and you have to wait to see the numbers, how is the effect in the future. And yes, regarding the opportunities, as commented, we see quite unique pipeline of opportunities in the U.S., nothing that we have seen before. It's not -- as you know, we are bidding 2 managed lanes this year. The I-77 South next year. We see other managed lanes that will come very soon, hopefully, in Atlanta and Charlotte and Nashville, sorry, and others that we are working on the pipeline. Yes, as you know, we want also to expand airports in the U.S., something similar to NTO. There may be other opportunities. So it's quite unique in terms of pipeline of opportunities. And -- but at the same time, we are not expecting to win all of them. As you know, we are very disciplined from a financial point of view. And for us, it's not only growing, it's creating value while growing. But the firepower, maybe Ernesto can comment more about that.
Ernesto Lopez Mozo: Yes. Thanks, Ignacio. Well, as we presented at the Capital Markets Day, and we tend to answer this, we usually don't have leverage at the ex infrastructure project level. But with good opportunities to grow, we could go to the leverage headroom that the BBB rating allows. We don't comment what are the ratios that rating agencies have. As a proxy, we have the -- our internal 2x net debt to EBITDA and EBITDA is composed of dividends we get from projects that have substantial potential and also the EBITDA from other businesses like construction. So that is the kind of proxy we use, and we could use that leverage for firepower.
Operator: There are no further questions at this time. I will now hand it back to Silvia Ruiz, Global Head of IR.
Silvia Ruiz: Thank you. Well, it seems that there are no questions in the webcast. So I will hand over to Ignacio.
Ignacio Madridejos Fernández: Thank you. Thank you, everyone, for your participation in this conference call. And so now we close it. Thank you very much for your participation.